Operator: Ladies and gentlemen, thank you for standing by. My name is Abby I will be your conference operator today. At this time, I would like to welcome everyone to the Oracle Corporation Third Quarter Fiscal Year '25 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] And I would now like to turn the conference over to Ken Bond, Head of Investor Relations. Mr. Bond, you may begin.
Ken Bond: Thank you, Abby. Good afternoon, everyone, and welcome to Oracle's third quarter fiscal year 2025 earnings conference call. A copy of the press release and financial tables, which includes a GAAP to non-GAAP reconciliation and other supplemental financial information can be viewed and downloaded from our investor relations website. Additionally, a list of many customers who purchased Oracle Cloud Services or went live on Oracle Cloud recently will be available from our Investor Relations website. On the call today are Chairman and Chief Technology Officer, Larry Ellison; and Chief Executive Officer Safra Catz. As a reminder, today's discussion will include forward looking statements, including predictions, expectations, estimates or other information that might be considered forward looking. Throughout today's discussion, we will present some important factors relating to our business, which may potentially affect these forward-looking statements. These forward-looking statements are also subject to risks and uncertainties that may cause actual results to differ materially from the statements being made today. As a result, we caution you against placing undue reliance on these forward-looking statements, and we encourage you to review our most recent reports including our 10-K and 10-Q and any applicable amendments for a complete discussion of these risk factors and other risks that may affect our future results or the market price of our stock. And finally, we are not obligating ourselves to revise our results or these forward-looking statements in light of new information or future events. Before taking any questions, we will begin with a few prepared remarks. And with that, I'd like to turn the call over to Safra.
Safra Catz : Thanks, Ken, and good afternoon, everyone. As you can see, this was our strongest booking quarter ever by a huge margin as we added $48 billion to our backlog. Our RPO balance is now $130 billion up from $97 billion last quarter and up from $80 billion last year. That's a growth of 63% year-over-year and this does not include any contracts with project Stargate. The RPO figure is the leading indicator of demand for our cloud services, while our live data center count and power capacity is the leading indicator of the conversion of RPO to revenue. Speaking of data centers, we marked a milestone this quarter as we crossed into triple digits with our 101st cloud region coming online. It's just a matter of time before we have more cloud regions than all of our competitors combined, reflecting the strategic advantage of our Gen 2 architecture, which offers our customers the most flexibility. From a delivery standpoint, the growth of our power capacity under contract is even higher than the growth in the number of data centers and we expect that our available power capacity will double this calendar year and triple by the end of next fiscal year. As we bring more capacity online, our revenues will clearly accelerate. What we are seeing in the market is that we are the destination of choice for both AI training and inferencing. This is due to the fact that our Gen 2 cloud is faster and therefore, cheaper than our competitors and also do to our ultra high-speed networking engineering that we started decades ago and that is now highly relevant for AI. Taken together we have numerous structural engineering advantages that distinguishes OCI from our competitors. And as Larry will discuss in more detail, Beyond that, because of the momentum OCI is enjoying, customers are looking at us for many more workloads. Now shifting to Q3 results. I'll be discussing our financials using constant currency growth rate, as this is how we manage the business. So here goes. Total cloud revenue at SaaS and IaaS was up 25% at $6.2 billion with SaaS revenue of 3.6% in the quarter, up 10% and IaaS revenue of $2.7 billion, up 51% on top of 49%, which report -- which we reported last year. Now as a reminder, the exit our advertising business last year had the effect of lowering total cloud revenue growth by 2% this quarter. Total cloud services and license support revenue for the quarter was $11 billion, up 12%, driven again by OCI our strategic cloud applications and cloud database services. Infrastructure subscription revenues, which includes license support, were $6.2 billion, up 18%. Record level AI demand drove Oracle Cloud Infrastructure revenue up 51% in Q3 and that's 54% when you exclude our legacy hosting, both a much higher growth rate than any of our hyperscaler competitors. Our Instructure cloud services now have an annualized revenue of $10.6 billion. OCI consumption revenue was up 57%, Demand continues to dramatically outstrip supply. Now we do expect that the component delays that have slowed cloud capacity expansion this year, should ease in Q1 FY '26. So pretty soon. Growth in the AI segment of our infrastructure business was extraordinary GPU consumption revenue is now nearly 3.5 times the size of last year's. Cloud database services, which were up 28%, now have annualized revenue of $2.3 billion, Autonomous Database consumption revenue was up 42% on top of the 32% growth reported last year. So again, we have acceleration, as we get bigger. As on-premise databases migrate to the cloud either on OCI directly through public cloud, cloud to customer or DRCC, or through our database at cloud service with Azure, Google or AWS. We expect the cloud database revenues collectively, will be the third driver of revenue growth alongside OCI and strategic SaaS. We are currently live in 18 cloud regions with database at cloud services with our partners and have another 40 planned with Azure, Google and AWS. Now finally, database subscription revenues, which includes license support, were up 6%. Application subscription revenues, which again, include product support, were $4.8 billion and up 6% [too] (ph). Our strategic back-office SaaS applications now have annualized revenue of $8.6 billion and were up 8%. Software license revenues were down 8% to $1.1 billion. So all in, total revenues for the quarter were $14.1 billion, up 8% from last year. Now shifting to gross profit and operating income, the gross profit dollars of cloud services and license support grew 10% in Q3. We continue to focus on operating expense discipline, which collectively continue to grow slower expense discipline. So expenses continue to grow slower than revenue, a trend that I expect will continue. The Q3 operating income grew 9% and the operating margin was 44%, up slightly from last year. The non-GAAP tax rate for the quarter was 19.9%, which was higher than my 19% guidance and lowered EPS by $0.02. And EPS currency headwind ended up at $0.04 more than I thought would be hurt by currency -- as currency continued to strengthen. The non-GAAP EPS was $1.47, up 4% in USD, up 7% in constant currency. The GAAP EPS was $1.02, up 20% in USD, up 25% in constant currency. At quarter end, we had $17.8 billion in cash and marketable securities. The short-term deferred revenue balance was $9 billion, up 3% and operating cash flow for Q3 was $5.9 billion, slightly more than our $5.9 billion in CapEx, as we front-loaded some purchases into the quarter, given the demand that you see in our RPO growth and the additional demand we see in our pipeline. I expect fiscal year 2025 CapEx will be a little more than double what it was last year at around $16 billion. As always, we remain careful to pace and align our CapEx investments appropriately and in line with booking trends. On a trailing 12-month basis, operating cash flow was up 14% at $20.7 billion, and free cash flow was $5.8 billion. As I mentioned, remaining performance obligations or RPO is now $130 billion, up 63% in constant currency, and it reflects the growing trend of customers wanting larger and longer contracts, as they see firsthand how Oracle Cloud services are benefiting their businesses. Further, our cloud RPO grew over 90% and now represents more than 80% of total RPO and approximately 31% of that total RPO number is expected to be recognized as revenue over the next 12 months. Now we are and remain committed to returning value to our shareholders through technical innovation, acquisitions, repurchases, prudent use of debt and the dividend. This quarter, we repurchased nearly 1 million shares for a total of $150 million and over the last 10 years, we've reduced the shares outstanding by more than one-third at an average price of $54 a share. In addition, we have paid out dividends of $4.4 billion over the last 12 months, and the Board of Directors increased the quarterly dividend 25% from $0.40 to $0.50 per share today. Before I dive into Q4 specific guidance, I'd like to comment on the financial acceleration we expect to see in the coming years. We now have a clear light of sight to our future revenue growth. We remain very confident and committed to total cloud infrastructure revenue for fiscal year 2025 growing faster than the 50% reported last year and it will be even faster for fiscal year 2026, likely a lot faster. Our confidence in meeting our $66 billion revenue target for FY '26 is now stronger revenue than ever and represents around a 15% growth rate. And more importantly, I now expect that our fiscal year '27 growth rate will be around 20%, which is even higher than I previously guided. Let me now turn to my guidance for Q4, which I'll review on a non-GAAP basis and assuming exchange rates remain the same as they are now, currency should have a $0.01 to $0.02 negative effect on EPS and a 1% negative effect on revenue. However, as usual, currency impact may be different. So focus in on constant currency. Total revenues are expected to grow from 9% to 11% in constant currency and are expected to grow from 8% to 10% and in USD at today's exchange rate. Total cloud revenue is expected to grow from 24% to 28% in constant currency is expected to grow from [25 to 27 in USD] (ph). Non-GAAP EPS is expected to grow from 0% to 2% and be between $1.62 and $1.66 in constant currency. Non-GAAP EPS is expected to grow between negative 1, positive 1 and be between $1.61 and $1.65 in USD. I should mention that my Q4 EPS guide is negatively impacted by $0.03 plus due to losses recognized from an investment in another company. Lastly, my EPS guidance for Q4 assumes a base rate of 19%. However, as you saw in this quarter, onetime tax events could cause actual tax rates to vary and usually do. And finally, I'm sure this isn't lost on anyone, but we are reporting earnings just 10 days after the close of the quarter, and that's also because there was a weekend, using fusion we continue to file our quarterly and annual financial statements faster than any other company in the S&P 500. And with that, I'll turn it over to Larry for his comments.
Lawrence Ellison: Thank you, Safra. Well, as Safra pointed out, some of our existing businesses, AI training and multi-cloud database are experiencing hyper growth. We are in the process of building a gigantic 64,000 GPU, liquid-cooled NVIDIA GB 200 cluster for AI training. Our multi-cloud business at Amazon, Google and Microsoft grew 200% in the last three months alone. But in addition to these rapidly growing existing businesses, new customers and new businesses are migrating to the Oracle Cloud at an unprecedented rate. In Q3, we signed a multibillion dollar contract with AMD to build a cluster of 30,000 of their latest MI355x GPUs and all four of the leading cloud security companies: CrowdStrike, Cyber Reason, Newfold Digital and Palo Alto, they all decided to move to the Oracle Cloud. But perhaps most importantly, Oracle has developed a new product called the AI data platform that enables our huge installed base of database customers to use the latest AI models from OpenAI xAI and meta to analyze all of the data they have stored in their millions of existing Oracle databases. By using Oracle version 23 AI's vector capabilities, customers can automatically put all of their existing data into the vector format that is understood by AI models. This allows those AI models to learn, understand and analyze every aspect of your company or government agency, instantly unlocking the value in your data while keeping your data private and secure. This AI inferencing will be another great large new business for Oracle. Back to you, Ken.
Ken Bond: Thank you, Larry. Abby, please poll the audience for questions. Thank you.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] And your first question comes from the line of Brad Zelnick with Deutsche Bank. Your line is open.
Brad Zelnick : Great. Thanks so much for taking the question. And congrats on just remarkable booking strength. Larry, I'm hoping you can expand more on Stargate because this is just a massive scale American first venture with Oracle joined by undisputed AI leaders like OpenAI and NVIDIA and they chose you over several other choices in the market. What is Oracle's unique value add here? What can Oracle do that others can't? Thanks.
Lawrence Ellison : Well, I think it's actually very simple. The capability we have is to build these huge AI clusters with technology that actually runs faster and more economically than our competitors. So it really is a technology advantage we have over them. If you run faster and you pay by the hour, you cost less. So that technology advantage translates to an economic advantage, which allows us to win a lot of these huge deals. And it is not just the Stargate deal, which is in our future, by the way. We got to over $130 billion in RPO without any transactions from Stargate. So again, Stargate looks to be the biggest project -- AI training project out there. And we expect that will allow us to grow our RPO even higher in the coming quarters. And we do expect Stargate of our first large Stargate contract fairly soon.
Brad Zelnick : Great. Larry, if I could maybe just sneak in a very quick one for Safra. When Stargate does hit as it is a related party. Is there anything that you can share with us as to how we should expect it might flow through the financials? Thanks again.
Safra Catz : Well, it won’t flow -- through us in any unique way. They will place contracts with us, and they'll come right through. So I'll be explaining it to you once it's fully laid out, but it's not going to make your work harder. We are going to be very, very clear on as the contracts come through us. It won't be as much of a change as you think it's just going to be even larger numbers.
Brad Zelnick : Well, thank you again.
Operator: And your next question comes from the line of Derrick Wood with TD Cowen. Your line is open.
Derrick Wood : Safra and Larry, congrats on a strong bookings quarter. I wanted to drill into the growth under current around OCI, especially in light of such a huge RPO number that didn't even include Stargate. In some quarters, we hear about particular demand for AI contracts certainly seems to be a lot of favorable developments going on there. But other times, we hear about emerging adoption in multi-cloud and database on hyperscalers and we can hear about strength in dedicated as well with sovereign clouds and alloy. I guess as you look at Q3 bookings and pipeline trends, can you give us a sense as to how demand is unfolding across those three different environments and how you feel about the growth durability and really the infrastructure capacity serviceability of each of these vectors.
Safra Catz : Well, I mean the reality is that everything is chugging on all fronts. So multi-cloud, I gave you some of the numbers. These numbers -- I was just looking year-over-year because we only started really having revenue originally a year ago. It's more than 10 times what it was just a year ago and the numbers are exploding. As I told you, we've got 18 lives, but 40 coming online. So that is going unbelievably well. OCI, public cloud going spectacularly, cloud a customer really going well and all the pieces around that and we're starting -- there are whole parts that are only now rolling out which are sovereign clouds disconnected clouds. And so we've laid out quite a lot of capacity, and it's starting to fill up. So bookings are going very, very well, and it's turning into revenue. So pretty much it's -- we're going on all cylinders for us. We are happy when customers come directly to us with their database workloads, but we are also happy when they do -- they come to us through our partners, Azure, AWS and GCP. So for us, we don't care. It is -- they get exactly the same capability at the -- and it's truly ideal.
Lawrence Ellison : Now the customers can get our database everywhere. They can install an Oracle cloud region on their premises. They can get Oracle from Azure. They can get Oracle from Google. They can get Oracle from AWS. They obviously get a good Oracle from OCI. And that Oracle database is becoming more and more capable. It does store most of the world's valuable data. It is by far the largest data base installed base in the world, with nothing remotely close. And most of those databases are still on-premise, but now they are beginning to migrate to the cloud. And one of the big drivers of them migrating to the cloud is the autonomous version of the database. And now perhaps just as importantly the AI data platform, which allows you to take all of your existing data, all of your existing data and make it available to any of the leading AI models, say, Grok, ChatGPT, LLaMa, all of them can immediately take advantage of your existing data and your existing database and turn it into insights and actions and agents directly, again, on your private data while keeping that private data private. And that has been the missing link in companies and government agencies taking fully trained on all of the public data that's available on the Internet. Now that's a huge amount of information and makes for brilliant AI -- but the AI is not -- does not have a lot of information about your company or your government agency because that data is not available on the Internet. That is not data that the AI model was trained on -- now with the Oracle Database, 23 AI. The AI model can look at your data train itself on that data and provide you with, again, inside actions on your existing data while keeping it private. You don't have to share it with anybody.
Derrick Wood: Fantastic. Thank you.
Operator: And your next question comes from the line of Alex Zukin with Wolfe Research. Your line is open.
Alex Zukin: Hi, thank you guys. And echoing the congratulations for truly unbelievable bookings number. I guess maybe, Larry could you opine on the current kind of state of the AI training versus inferencing opportunity. You have potentially investors worried about diminishing returns to training. Even some of your hyperscaler peers seemingly walking back on some of their CapEx commitments. What are you seeing out there with respect to training versus inference, both in the incremental bookings that you're adding into the pipeline? And maybe just how Oracle is differentiated on the inferencing side versus both hyperscalers and Neo clubs, particularly with this AI data platform product that you just announced?
Lawrence Ellison : Okay. Well, obviously, our training business is getting bigger and bigger and bigger, very rapidly, as evidenced by our RPO. But it wasn't just AI training that drove the RPO up. the AI inferencing, the potential of AI inferencing and think about all of the Oracle databases out there that, that data in those databases are going to train AI models. The AI models are only useful if they're familiar with the data -- your data, the AI models have to understand your products. your customers, your service requests, your financials. So you have to make all that data available to the AI models in those databases. This has not -- this is -- we're right at the beginning of that. And again, on top of those Oracle databases now, we ourselves because [when] (ph) the application business have built lots and lots of agents on top of the Oracle -- on the Oracle databases and made those agents a part of our applications, modernizing and automating our applications. But customers need to do the exact same thing as they build software inside of their government agency where they build software inside, again, AI agents inside of their company. And how are they -- what is -- how do they go about doing that? Well, they go about doing that is training the AI models on their data, on their data that is currently in an Oracle database. And we make that very easy. You push a button -- the new version of the Oracle Database 23 AI with vector capabilities allow you to convert your data into vector format that's understood by the AI models. Nobody else has that. Nobody else has that. So you can easily now train the AI models on your data for inferencing, obviously, and for building of agents, you can do that automatically with the Oracle Database. We are the only one with that capability. So we think inferencing in the end is a much bigger opportunity than AI training. And there are literally millions of Oracle databases all over the world that will and that data, all of those millions of databases, all of that data will be used to train AI models. And on top of that, they'll build agents and applications. We think, again, that -- I mean it's -- we don't have these 1 or 2 or 10 huge contracts for training because there aren't that many people building frontier models, but there are hundreds of thousands of our customers that will be consuming those AI models and training those same AI models on their private data and then running agents and applications on top of all of that. That's a much bigger market than AI training for us.
Alex Zukin: Super helpful. And maybe just Safra, how to think about RPO trends and trending over the course of the next few quarters in light of that?
Safra Catz : I think there are going to be lumpiness as you can see, but we actually expect some extremely significant numbers coming within the next few months also. So there's just a lot of demand folks there is a lot of demand where people want to lock in and schedule into our cloud. So we're going to see we're going to see increases in RPO. But remember, our remaining performance obligation, we also burned down some of it through the quarter as capacity goes online, but I expect that number to be extremely large. This is enormous, but I expect it actually to continue to be very large amazingly.
Alex Zukin: Thank you so much.
Operator: And your next question comes from the line of John DiFucci with Guggenheim. Your line is open.
John DiFucci: Thank you. You said you were live on 33 cloud regions and another 40 planned with Azure --.
Safra Catz : No, 18 Multi cloud.
John DiFucci : Sorry, I got it. Yes, I got you way ahead of yourself. I'm sorry, ever. But anyway, I know you said you had another 40 planned with Azure, AWS and Google, this quarter, we saw a big uptick like in discussions between partners and large enterprise regarding Oracle database pick your hyperscaler like the discussions seem to be in like happening in mass, but not the deals yet. And one of the things a limiting factor and talk partners was that some of these global enterprises needed it to be global because the global enterprises. Those 40, I guess, does that get you there for that? And when -- like when do those 40s get deployed? Are they going to be deployed over the next year? Or is it going to be over the next, I don't know, about how long does that take?
Safra Catz: Well, of course, we are not in full control of that, but everyone's motivated to get them as quickly as possible because, as you know, the way the revenue flows through, it flows through to our partner or our host and then we -- and then they pay us. So they are very, very motivated to get it as quickly as possible because that is holding up revenue for them until they can deploy it. It's been moving very quickly. They’ve accelerated recently. And as you can imagine, there is some significant competition between those three hyperscalers to grab those workloads before their competitor takes them. So it is moving quickly. And -- but there is enormous demand again, enormous demand, but that capacity is not always within our control. So but they are very, very motivated to get it going because when those customers move, they often bring a lot of additional workload connected to the database into their cloud would often directly into OCI also. And of course, we are the fourth competitor for them at the same time. So I don't have the exact dates of someone in my organization, no doubt it does, but we do expect it in short order to be a lot more deployed very quickly, and demand is extremely high.
Lawrence Ellison : Can I help – I think I can help on this. So everyone needs a primary and a backup data center in North America. Everyone needs a primary and a backup data center in Europe, typically Western Europe. And everyone needs a primary -- not everyone and a lot of people need primary and backups in Asia. So that's six data centers. So once we get to a primary and backup in North America and Europe and in Asia for let's us say, Google, we're ready to roll. Most of the impediments are out of the way. So -- but then it's just a matter of building the people that want -- that are Japanese national companies. That's for the multinationals or the multinationals that works. And then there's obviously the Japanese domestic market in the German domestic market and so on and so forth. But I think by the time we get to 40, which is around -- close enough to say, 12 months from now, the -- as Safra said, it's not entirely in our control because AWS has to provide us with the space because we are literally embedding the OCI data centers inside of AWS inside of Google and inside of Azure. But we expect this is growing extraordinarily fast, and we think we'll be able to meet most of the needs of customers that need for primary and back up around the world, certainly in the coming months. And then it's just going to be adding capacity country by country.
Operator: And your next question comes from the line of Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Thanks very much for taking the question. I'll add my congrats on the RPO and booking strength this quarter. Larry, you mentioned some of the agents you've been building out on top of your application platform earlier. I was just wondering, are you now starting to see the demand for those technologies or those functionality that agents are bringing starting to have an impact on your strategic SaaS business? And perhaps the pace of conversions from any legacy on-prem systems that still might be out there? Thanks.
Lawrence Ellison : Okay. So I would say, I mean, our biggest differentiator when we're competing in the health care field, our biggest differentiator is the quality of our AI agents that we have a lot of AI agents in health care. One, we listen when a doctor consults with a patient, we listened to that consultation and we record all the prescriptions, all the doctors' orders, all the doctors' notes, we automatically. We provide the doctor a prior meeting with the patient, a summary of the patients, their latest lab tests and vital -- when the doctor is finished a meeting with the patient has given all these orders prescriptions and come to diagnostic conclusions, we automatically update the electronic health records, taking a huge burden of the position. They don't have to type any of this stuff in. We just listened the interface to our system is voice, primarily voice which is all AI and -- but the whole system is made up of AI agents. Let me give you another one, another AI agent that we're in the process of building. It is -- the doctors have to -- the hospitals have to get permission to prescribe an expensive cancer drug or to do a heart transplant or something like that or a knee transplant. They have to get prior authorization from the payer, the insurance company in the United States or the government like the NHS in the U.K. And there's this negotiation. You send your patient's electronic health records to the insurer. Insurer looks at that, analyzes that and says, yes, this person is authorized to use Herceptin or a cancer drug or not. But that's all done manually on the phone. But our AI agents, we read the insurance policies. We read all the electronic health records. We actually make mention whether this is a reimbursable drug or this is a reimbursable surgery. We do that and we automate that entirely make it completely electronic. This saves billions of dollars in the health care field and makes a huge difference and determines whether they're going to buy our system or buy some other -- some alternative systems. So I know people are saying, what's the dollar impact when you're selling the agents? Well, the dollar impact is we sell in country, an entire health system. Based on whether our agents and our health software is better than our competitors and saves them money. So it's not just -- it's not money really attributable to AI agents in health care. It's the fact we're selling more and more health care systems because that we have a lot of AI agents embedded in them, which helps -- which produces better outcomes for patients and saves governments and payers money.
Safra Catz: And the name applies to our Fusion applications which have sense of embedded agents, whether it's in supply chain, financials, HCM, we have literally dozens of agents already embedded in our applications, unlike our competitors who are talking about it, we actually have them already built and deployed it.
Lawrence Ellison : But I can make one more statement. It's going to be since our applications are going to be primarily AI agents. Again, I say the applications themselves will migrate to be basically a bunch of the connected AI agents. It really -- you're not going to be able to separate how much of this -- how much did you make on the AI agents and how much did you make on the rest of the applications. All of our applications are becoming AI agents.
Kirk Materne: Safra, if I could just ask a really quick follow-up. Is this the tipping point for any customer that hasn't moved to the cloud to have to get there now to get this functionality, talking some partners, it feels like anybody that's been holding out is now ready to go because they can't get any of this functionality if they're still on-prem.
Safra Catz : Yes. I mean this is the motivator, the ability to have your system do so much of your work. As I was signing off with my finance and audit committee and talking with my Chief Accounting Officer, they have the entire description of the balance sheet issue, all the different balance sheet parts all done because of our products. That is such a time saver and so much incredible productivity and insight that you're disadvantaged if you do not use this. And that's why I know every quarter, I mention again, we're announcing. Of course, it's Monday. I couldn't announce Sunday or a Saturday or of course, Friday, something you do only if you have bad news. I mean, I had to announce the 10th. And imagine so much of the work that my teams do is enabled because of these advanced technologies. And it is your way to get there. Ultimately, everyone is going to come to it and it should be motivating them because it is such a massive not only productivity improvement. And as a result, lower cost, but it also gives you incredible insight into your business. It’s really amazing.
Operator: And your final question comes from the line of Mark Moerdler with Bernstein Research. Your line is open.
Mark Moerdler: Thank you very much for taking my question. And really, congratulations on how incredibly well this is being executed. We know Oracle spends less on CapEx per dollar of IaaS pass revenue. than your larger hyperscale cloud provider peers. But how should we understand why CapEx is lower? And how should we think about the trajectory of CapEx given the strength of RPO and especially the strength of OCI and OCI AI? Thank you.
Lawrence Ellison : Okay. Well, I'll take a crack at that. So we can start our data center smaller than our competitors. And then we grow based on demand. So building these data centers are expensive, and they're really expensive, if you don’t – if they're not at least half full. So we tend to start small and then add capacity as demand arises. And that allows us to have higher utilization. That's one thing. The other thing is we have a high degree of standardization and automation inside of our cloud. So the operating in the cloud also gives us better margins, now that you will not see that on CapEx. That will be on operating profit. But it's really the combination of starting smaller that affects and growing with demand that affects CapEx and then overall margins, the fact that we have a high degree of automation which lowers our labor cost dramatically. By the way, more importantly than -- more important than lowering our labor costs with no labor, there's no human error, there is no human mischief. So we're much more reliable and much more secure because we don't have a lot of human beings in our data centers.
Mark Moerdler: Makes, a lot of sense. Thank you.
Ken Bond: Thank you, Safra. Thank you, Larry. Thank you, Mark. A telephonic replay of this conference call will be available for 24 hours on our Investor Relations website. Thank you for joining us today. And with that, I'll now turn the call back to Abby for closing.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.